Operator: Ladies and gentlemen, thank you for standing-by and welcome to the Q1 2020 Amdocs Earnings Conference Call. [Operator Instructions] Now, it's my pleasure to hand the conference over to your speaker today, Matt Smith, Head of Investor Relations.
Matt Smith: Thank you, operator. Before we begin, I would like to point out that during this call, we will discuss certain financial information that is not prepared in accordance with GAAP. The company's management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly management believes that isolating the effects of such events enables management and investors to consistently analyze the critical components and results of operations of the company's business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures including reconciliations of these measures we refer you to today's earnings release which will also be furnished with the SEC on Form 6-K. Also, this call includes information that constitutes forward-looking statements. Although we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include, but are not limited to, the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company's filings with the Securities and Exchange Commission, including in our annual report on Form 20-F for the fiscal year ended September 30, 2019, filed on December 16, 2019. Amdocs may elect to update these forward-looking statements at some point in the future however the company specifically disclaims any obligation to do so. Participating on the call with me today are Shuky Sheffer, President and Chief Executive Officer of Amdocs Management Limited and Tamar Rapaport-Dagim, Joint Chief Financial and Operating Officer. And with that, I will turn it over to Shuky.
Shuky Sheffer: Thank you, Matt, and good afternoon to everyone joining us today. I'm pleased to report solid third quarter results which includes record revenue above the guidance after adjusting for comps. In addition, stability was consistent with our open operating trend including investments to support new customer activity. We return more than 100% of normal and free cash flow to share shareholders and we ended Q1 with record 12 months backlog of more than $3.5 billion. Based on book of business reflects a high win rate during the quarter and include the recent signing of major transformation projects such as Vodafone Germany and Northern Spain, both of which are among the largest of the economy in today. We believe the world like these reflects our pedigree for innovation, our position for consistent project delivery and our unique ability to help our customers respond to major trend, so our market leading portfolio of products and services. A fine example is CS20, a fully cloud native and micro services based version what our customer experience with. Leading global services provider like Orange Spain, Korea Telecom Cooperation, Sprint and Vodafone Germany already adopting CS20. By combining these with our go-to-market partners like Microsoft Azure and AWS, we believe Amdocs is a position to bring the critical services needed to accelerate and endlessly secure and less expense to the cloud over the coming years. Now let me proceed as usual with the recap of our quarterly activities by region. Beginning in North America, sequential revenue loss reflects the stabilization of AT&T and ongoing strategic support we are providing to customer in the border region. Notably the quarter includes Amdocs media signing and multi-year content servicing and global delivery deal with the iconic television studio MGM. Regarding the outlook in North America, let me take a moment to comment on the broader market condition in which you're operating. First, we believe the long-term intercom market dynamics were made generally favorable as service provider invest in strategic areas like digital transformation, wireless safety convergence, media, 5G, the enterprise segment and journey to the cloud. Such investments create opportunities for Amdocs to bring customer value with our product and services. Take Canada for instance, we recently launched the RevenueONE, keep busy with local CS20 to help build simplifying retail engagement and improve customer experience. It's a privilege, I'm pleased to say that we recently partnered with Microsoft Azure to support the integration of AT&Ts IT systems to the public cloud. Second, with the [indiscernible] demonstrating the future value we can bring to T-Mobile and Sprint. Our relationship remain strong in both customer is demonstrated by Sprint's recent decision to collaborate with projekt202, an Amdocs company which will bring experience and design and develop methodologies as part of Sprint continued transformation on the duration of the customer experience. Having said that, we continue to see some indication of softness relating to the delayed of T-Mobile and Sprint, the immediate future rest in the hands of the public. To summarize North America, we will remain on track to deliver modest growth this fiscal year, but to remind you this ongoing consolidation activity in the region remains a source of activity in our near-term outlook. Moving to Europe, we maintain healthy year-over-year revenue growth in Q1 and achieving high win rates for the quarter that include the previously announced transformation in Vodafone Germany. Additionally, we are today pleased to announce the former Q1 signing of large scale multi-year major transformation in Orange Spain, which will include a deployment of amdocsONE in AWS cloud environment to bring or and import customer experience, smart monetization and faster time to the market with new services. The new deal follows our preliminary selection for this customer a few quarters ago and positions Spain as a natural market for Amdocs by adding to our existing activity with Vodafone. Our notable win this quarter include multi-year services agreement with A1 Bulgaria, a subsidiary of A1 Telekom Austria Group, where we have been selected to modernize, automate and digitize its business as part of a long-term expansion to our previous engagement. Looking ahead, we expect Europe to deliver solid growth this fiscal year, including a stronger second half as new project activity ramps ups, having said that, we are, of course, closing monitoring macroeconomic developments in the region. Turning to rest of the world, we delivered mid-to-high single digit year-over-year growth. As we continue to support customer investment to modernize, automate and right size the businesses. Among these, we signed a multi-year services with [indiscernible], Latin America for the digital customer management and commerce and successfully completed revenue assurance implementation in Safaricom, a major mobile network operator in Kenya. Q1 was also notable for an important 5G award from KT Corporation, the largest workplace services provider in South Korea, which was Amdocs CatalogONE on the cloud in order to accelerate the launch of new 5G services, monetizing revenue opportunities and cementing its market position as one of the world's leading service providers to commercially launch 5G services. Looking ahead, let's go to volume position for growth in 2020, driven by work-in-progress and the rich pipeline of opportunities, we see across Southeast Asia, Latin America and part of Africa. However, we remind you, this quarterly trend may fluctuate given the project orientation of our activities in this region. To conclude my regional summary, Q1 was a successful quarter in which we extended our global market leadership by bringing the co-engines we have build to support our customer needs and to drive our future goals. Of this engine is the next generation networks where we recently launched our Amdocs service and network automation solution that can be implemented in on typical cloud or public cloud environment where Microsoft Azure or AWS. Amdocs is already deploying components of this technology to accelerate the network transformation energy journey to several customers including three integrated service provider in Europe, a major Q1 provider of telecommunication service in Asia Pacific and leading result in North America. I'm also free to report first quarter sales of Amdocs Media, which include the content process management expertise of the Vubiquity, the cloud based subscription billing capabilities in Asia, and our newly launched multi-cloud platform. In addition to MGM, which I mentioned earlier, Amdocs Media won several new customer in Q1 include A1 Bulgaria to support the roll-out of A1 Telekom first TVoD platform in the region and [indiscernible] operator for which we will provide the content services and licensing of TVOD and SVOD license. [Indiscernible] sports arena we are also pleased to announce that the initial subscriber has been selected to support FC Barcelona OTT platform. Finally, we are encouraged to report the positive initial customers who want Amdocs MarketONE, a new platform is combined and offer solution for subscription monetization, [indiscernible] management and efficient on-boarding of OTT partners we won. As we announced last quarter, T-Mobile recently selected MarketONE to support its OTT strategy and the stabilization and I'm pleased to reveal today that we've also signed a major Latin America operator to the platform. Overall, we believe Amdocs Media is developing its growth engine for the future and provide an example of the unique innovation, we constantly bring to our customers by combining strategic acquisition with our portfolio of products and services. So with that, we are pleased with operational and financial progress in the first quarter. Our record 12-month backlog is up 4.5% from a year ago and points to a stronger second half in which we expect revenue growth to accelerate a new customer activities ramp up and we are on track to deliver total expected shareholder return in the mid-to-high single digit for the 8th consecutive year in 2020 including non-GAAP diluted earnings per share growth of 3% to 7% plus our dividend yield. With that, let me turn the call over to Tamar for remarks.
Tamar Rapaport-Dagim: Thank you, Shuky. First fiscal quarter revenue of $1.02 billion was at the midpoint of our guidance range of $1.16 billion to $1.55 billion and includes the positive impact on foreign currency fluctuation of approximately 3 million relative to the [fourth fiscal] [ph] quarter of 2019. Revenue performance was slightly above the midpoint of our expectation excluding foreign currency fluctuation. On a year-over-year basis our first quarter revenue grew by 3% consistent with our guidance, Q1 revenue includes the fourth quarter revenue contribution from the previously completed acquisition of TTS Wireless in early August, 2019. Our first fiscal quarter and non-GAAP operating margin was 17.1% slightly above the mid-point of our long-term target range of 16.5% to 17.5% percent and consistent with our guidance that profitability in the first half of the year will be impacted by investments required to support the ramp up of [indiscernible] awards. Below the operating line, non-GAAP net interest and other expense was $400,000 in Q1. For forward-looking purposes we continue to expect non-GAAP net interest and other expense in the range of $3 million quarterly versus foreign currency fluctuation. If you look at non-GAAP EPS was $1.06 in Q1, a penny above the midpoint of our guidance range of $1.02 to $1.08. As anticipated, our non-GAAP effective tax rate of 18.8% in the first fiscal quarter was above the high-end of our annual target range of 13% to 17%. If you look at GAAP EPS $0.85 for the first fiscal quarter above the mid-point of our guidance range of $0.79 to $0.87. Free cash flow was $105 million in Q1. This was comprised of cash flow from operations of approximately $164 million, that's $59 million in net capital expenditures and others. Normalized free cash flow was $121 million in the first fiscal quarter and it's on track with our expectations for the year which I will farther expand on in a few minutes. Please refer to the reconciliation table provided in our Q1 earnings release for an explanation of the difference between normalized and reported free cash flow in the quarter and for past period. DSO of 88 days decreased by three over the last year, but grows by one day compared to the prior fiscal quarter. We remind you that this might fluctuate from quarter-to-quarter. The sequential gap between unbilled receivables and deferred revenue narrowed by 15 million compared to the fourth fiscal quarter of '19, reflecting a decrease in total and business deliverables of $2 million and an increase in total deferred revenue both short and long-term of $30 million relative to a year ago, the gap improved by $6 million. Changes in this gap are primarily due to the timing of contract specific milestones relating to transformation projects we are delivering for our customers. Moving forward, you should expect unbilled receivables and total deferred revenue to fluctuate from quarter-to-quarter in line with normal business activities. Moving on, our 12-month backlog was a record of $3.52 billion at the end of first fiscal quarter, up $30 million sequentially from the end of the prior quarter and equivalent to year-over-year growth of roughly 4.5%. Our 12-month backlog increase was driven by signing of new deals during the quarter including Vodafone Germany and Orange Spain. As a remainder, we believe our 12-months backlog continues to serve as a good leading indicator of our forward-looking revenue. Our cash balance at the end of the first fiscal quarter was approximately $486 million. Additionally, our Q1 balance sheet reflected adoption of ASC 480-Q, a new lease accounting standards under which leased assets and leased liabilities are now recognized on the balance sheet for most places including operating leases, sound greater than 12 months. The adoption of ASC 842 does not necessarily impact our consolidated statements of income or the consolidated statements of cash flow for the period. During the first fiscal quarter, we repurchased $90 million of our ordinary shares under our current authorization. As of December 31, we had close to $1 billion of authorized capacity for share repurchases, with no status expiration date, which we will execute as a company's discretion going forward. This includes 149 million remaining other kinds of authorization and a farther 800 million as of the new authorization which was approved by the board last quarter. Now turning to our outlook for the second fiscal quarter of 2020, we expect revenue to be in a range of $1,035 million to a $1,075 million. Embedded within our Q2 revenue guidance we anticipated sequential positive impact from foreign currency fluctuations of approximately 2 million as compared to Q1. Regarding the full fiscal year 2020, we expect to deliver total revenue growth in the range of roughly 2.5% to 5.5% on a constant currency basis. The midpoint of which is unchanged as compared to our previous expectations of 2% to 6% year-over-year. Our outlook assumes just over a point of growth from TTS Wireless consistent with our prior guidance. On a reporting basis, we now expect full year revenue growth in the range of 2.5% to 5.5% as compared to the range of 1.5% to 5.5% previously. The outlook now includes an immaterial year-over-year impact from foreign currency fluctuations in fiscal 2020 as compared to an anticipated drag of about 0.5% previously. We continue to expect all three of our operating regions will grow in a reported basis in fiscal 2020 and that's a ramp up of recent fortress important awards will contribute to the acceleration in the rate of year-over-year revenue growth in the fiscal second quarter. We anticipate our non-GAAP operating margins to be consistent with the higher end of our unchanged target range of 16.5 to 17.5 over the full fiscal year 2020. As I touched on it earlier, to remind you the future investments required to support the ramp up of new deals, non-GAAP operating margins in the first half of the fiscal year might be slightly lower than the second half, but are still expected to remain at or above the guidance midpoint of 17% in Q2. We expect our non-GAAP effective tax rate to remain within the same target range of 13% to 17% for the full fiscal year 2020. We expect the second fiscal quarter diluted non-GAAP EPS to be in the range of 1.03 to 1.09, with respect to Q2, we expect our non-GAAP effective tax rate to be above the high-end of our annual guided range of 13% to 17%. Our second fiscal quarter non-GAAP EPS guidance incorporates and expected average diluted share count is roughly 136 million shares in the likelihood of a negative impact of foreign currency fluctuation in non-GAAP net interest and other expense. We exclude the impact of incremental future share buyback activity during the second fiscal quarter, as the level of activity will depend on market conditions. For the full fiscal year, we are on track to deliver diluted non-GAAP EPS growth of 3% to 7% consistent with our prior guidance. Additionally, our full year EPS outlook incorporates our expected repurchase activity over the year and a neutral impact from the acquisition of TTS Wireless. We now expect normalized free cash flow for fiscal 2020 of approximately $500 million, which is a slight improvement when compared to our previous guidance of $480 million. As a reminder, we expect normalized free cash flow in the first half of the year to be slightly lower than the second half. Q2, the initial impact of the new deal with AT&T as well as setup costs we expect to incur during the establishment phase, required working capital investment relating to the ramp up of recent transformation project and the timing of the annual bonus payments in fiscal Q2, just as we see every year. As stated before, we believe that roughly 1/3rd of the annual normalized free cash flow will be generated in the first half of the year and roughly 2/3rds in the second half of the fiscal year. The significantly stronger second half normalized free cash flow will/already reflect the conversion rate of 100% relative to non-GAAP net income. We now expect the reported free cash flow for the year 2020 of approximately $400 million, which is improved as compared to our previous guidance of 350 million. Reported free cash flow includes multi-year development of our new capital expenditure for which we now anticipate capital expenditure of up to 90 million in fiscal year 2020, as compared to our previous guidance of $120 million and other items. Regarding our capital allocation plan, we still expect to return roughly a 100% of our normalized free cash flow in fiscal 2020. As a reminder, we retain the flexibility to vary the level of share repurchase activity from quarter-to-quarter depending on factors such as outlook for M&A, financial markets and prevailing industry conditions. With that, we can turn back to the operator and we are happy to take your questions.
Operator: [Operator Instructions] And our first question is from Shaul Eyal with Oppenheimer & Company. Please go ahead.
Shaul Eyal: Thank you. Good afternoon, Shuky, Tamar and Matt. Congrats on a well-executed quarter, improved outlook as well. Shuky, I was counting eight separate press releases of contract twins each one illustrating different capabilities you bring to the market. Anything for micro services with Sprint, managed services with Telecom Austria, you mentioned that of course your collaboration with nice systems at Vodafone Spain. So really showcasing your broad range of solutions, are we currently seeing the fruition of prior investments and end market education which is definitely supporting some sort of an acceleration at least from the mid-point of the prior guidance. We had an accelerating backlog last quarter, this quarter, it further grew sequentially, 4.5% year-over-year. What's happening out there from a macro level which is supporting that great improvement we had seen last quarter and without it, that's what we continue to see this quarter?
Shuky Sheffer: Hi, Shaul. Good morning. I think what we see is the nice spread and consistent success overall, the different types of offerings that we have from product and services. And some of them are connected to investment that they've done in the last two, three years like building C1, D1 or what we call CS20 or amdocsONE, the new platform that we have for deeper transformation, which is the micro services cloud based platform. And at the same time, you see more demand and it's affecting our industry both activity of integration [indiscernible] with the cloud. So we talked about our activities with AT&T with Microsoft. And you see, the move to the cloud is something that we are in discussion and in some cases in progress with many of our customers. So the move to the cloud advantage as seem to accelerated lately. Obviously, we are in dialog both with Microsoft, AWS and Google and every one of our customers has different preference of following the cloud partner. We see acceleration with the media. So as you mentioned, we have success in Amdocs Media. So I think that overall look is nice, we feel nice spread of the different offerings, so it's not just offerings with that deal in both the across products and services.
Shaul Eyal: Got it. Got it. And Tamar, if I may, in terms of the foreign exchange impact, I know Amdocs is exposed to, if I recall correctly, five to six major currencies amongst others, of course. Which is the one or two that have been mostly impacting the business? Is it the dollar, shekel? Is it the Euro, the pound sterling anyone screening a little better or not during the quarter? I think also as we're looking to remainder of the year,
Tamar Rapaport-Dagim: Actually talking about the revenue because usually our hedging practice is highly focused on protecting bottom-line, and the exposure remains on the top-line. So from revenue perspective, I would say probably the euro and British pound are the ones that, maybe numbers three would be Canadian dollar. So typically those are the three currencies that are most impacting our revenue.
Shaul Eyal: Got it. Thank you so much for that. Well done. Thanks.
Tamar Rapaport-Dagim: Thank you.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar: Thank you. Hi, Shuky. Hi Tamar. Sorry for the noise in the background. I'm at an airport. The question is on cash flow, so you're still signing confirmation of the deals at a pretty good pace. But you also brought up the cash flow estimate and I want to understand sort of the breakout of how much -- reduced the campus CapEx. Was is this element of being maybe further along in terms of extracting any economics from older signed contracts? What is the need to invest in newer ones? And then you mentioned the campus spend is lower, is that a timing thing or is it more permanent? Thanks.
Tamar Rapaport-Dagim: So Ashwin, thanks to the question. When we're looking on the normalized free cash flow that excludes the investments in the capital. So improvement there by 20 million in our outlook for the year to 480 to 500 is coming from business fundamentals and that's a combination of multiple reasons, nothing specifically. Now with one quarter in our bag already, we felt comfortable to raise that slightly by 20 million for the year. And as you mentioned, rightfully so, yes, we're continuing to stay confirmation. So while doing that, while working that new deal awards, we believe that this is a good outlook and something obviously we feel comfortable with. Relative to the future capital investments that are impacting our reported cash flow. Yes, we updated the number for the year from expectation of [120] [ph] up to 90. It has to do with our progress in different contractual engagements that we are continuing to while the different RFPs having better regularity, projections on specific milestones. So it's not necessarily indicated of the overall investment going down, but more about how we are seeing specifically 2020 fiscal year as it goes forward in terms of the overall level.
Ashwin Shirvaikar: Got it. And then, the second question is on pipeline. You have had at this point, at least the last couple of quarters have been, I would say quite strong in terms of signing new deals and growing the backlog. Is that having a possible negative impact? I shouldn't say negative, but is it kind of whittling down your pipeline that you need to now build up or is the pipeline continue to be strong as before? So, are you refilling the pipeline?
Shuky Sheffer: I think the pipeline is pretty persistent and the same ratio that we are closing deal, I think we are having new opportunity for the pipeline. So I don't think it is -- the fact that we are waiting for months, we're winning in a very nice straight impacting our pipeline.
Ashwin Shirvaikar: Got it. Thank you. Good to know. Congratulations.
Operator: Thank you. Our next question comes from Tom Roderick with Stifel.
Tom Roderick: Hi, Shuky, Tamar, Matt, Good afternoon. Thank you for taking my questions. So Shuky also the first question here for you. It's a high level question, but I'm gathering, you starting to have more and more conversations about it. Would love to hear your updated thoughts relative to the impact of 5G on the conversations you're having with some of your bigger carriers. Perhaps that is starting to play a role into some of the acceleration you see in your business. But could you just kind of give some thoughts as to the handful of carriers that are looking more seriously at 5G related services and how they're evaluating the Amdocs portfolio as it relates to things like upgraded billings, content support, product catalog? And then I guess the last part of that would be how do you currently evaluate NFV in this world of 5G. How do those things sort of play out in the future? Thanks.
Shuky Sheffer: So, regarding 5G and obviously this activity is accelerating, 5G is real, everyone is in the process of deploying 5G, some of them faster, some are less. And I think I mentioned it before, we have three different angles for 5G. The new 5G requires new policy and new rising challenging engines that can leverage all the capabilities. And by the way, first the new protocol, but definitely on the new capabilities of 5G. And so this is the first angle, actually as we speak, we are involved in many RFPs or activities and we have a very big pipeline in this domain. And the second one is the deploying 5G, as we have a very robust capabilities inside the deployment that we should accelerate by the TTS acquisition in North America from 5G deployment in North America is leaving the walls, although we see the productivity also in Europe. So, the capabilities that we have to-date in supporting 5G deployment. And to further, this is for example, once we announce our new catalog, which is the cloud native, the best catalog today that exists in the market -- is the motivational 5G. When you come, it has the abilities of edge computing, low latency, network slicing all its capabilities needs new monetization model, which require new -- ordering system upgrade, obviously different catalog. And so, and this is where we see from the motivation perspective to serve the engine for 5G. When we are talking about the 5G platform, so its build virtual from the ground up from the design. So it's not like [indiscernible]. So I believe the same 5G will also accelerate the activities in the domain. But overall, this is our view of the 5G and this is well like lifting our money, being in from service perspective to support the spending.
Tom Roderick: Outstanding. Thank you. Shuky. Tamar, just a couple of quick hitters here for you on the financial side, one thing, looking at the gross margins, they came down a little bit more than they typically would seasonally, but certainly understanding that you take on some of these transformational projects and they come with some uploaded front-end loaded costs, perhaps some more bodies to get those off the ground. And you had a big extension with AT&T. Can you give us a sense as to how we had to think about gross margins moving forward from here in light of your big transformational deals you announced this quarter? And then, second quick financial question. Do you have an update as to how TTS participated or delivered in the quarter for you? Looks like you're still predicting just a 1% tailwind from TTS for the year, but wondering if you have a number for the first quarter. Thank you.
Tamar Rapaport-Dagim: Thanks Tom. So I would only say I think that the right way to look at Amdocs is to focus on the operating margin. Then what are the needs, of course there is significant to gross margin versus the other operating expenses. I would advise you to focus mainly on the operating margin line. By having said that and back to your question, as we said, some of the pressure coming on profitability in the first half is related to the fact, we're raising up new deals and awards that are very excited about and some of them require some costs are related to them. For example, the significant wins we have with Vodafone Germany around transforming their business in a meaningful way across multiple lines of business helping them, become a digital organization, consolidating the recent business client [indiscernible]. For us it's a major ramp up activity now in Germany just by way of example. So, there are many of these overseas transformations going on. Some of them require more set up investments than others. So I wouldn't say too much attention to it. I would think that probably the second half you would see the focus is in the margin contributing to the overall improvement in the operating margin.
Tom Roderick: Excellent. Then on TTS real quickly, did you have a number there?
Tamar Rapaport-Dagim: Specifically TTS, as we said before, we expect slightly over a quarter contribution to year-over-year growth. So we're happy with the progress, integration is going on well. We are seeing new opportunities. We said when we acquired TTS that this is very complimentary to what we have in terms of radio access network optimization. So TTS is bringing great capabilities around the planning and design of networks and very relevant of course now with 5G being a very, very topical investment cycle. So we are happy with your progress. And as we said, we acquired TTS with roughly $50 million revenue annually. We are seeing pretty much the space starting to ramp up, but I think it will take only a couple of more months to start translating the pipeline that we're accumulating with the synergies with Amdocs into a higher revenue growth rate.
Tom Roderick: Outstanding. Thank you both. I appreciate it.
Operator: Thank you. [Operator Instructions] And our next question is from Will Power with Baird.
Charlie Ehrlich: Hey guys, thanks for taking the question. This is actually Charlie Ehrlich on for Will. Most of my questions has actually been asked, but could you just remind us of, the work that you're doing with AT&T under the new extended collaboration that you guys announced quarter. What kind of work are you doing exactly and is it expected to potentially bring the AT&T revenue stream back to growing in 2020 year-over-year?
Shuky Sheffer: So, the things that we do, stock of the [indiscernible] is mainly related to the consumer domain related to our activity in AT&T mobility and AT&T entertainment. And it's a combination of managed services activities and the projects and deliver activities and some other new domain like security and data-related, data management activity. This is the border agreement. Regarding to growth and we are very happy with stabilizing the business, which itself is a good achievement for our end. And we are starting to build the pipeline for growth. And one area that we mentioned this quarter is our partnership with Microsoft to deliver activities of moving application of AT&T to the cloud. This is just the start. But between this interim, we developed a nice business. But overall, as I said last quarter, we had, it's like a two phase approach. The first one is to stabilize the business. We've done it last quarter and now to get with AT&T, which I think the relationship is very strong and we are starting to build a new pipeline to accelerate the business.
Charlie Ehrlich: That's really helpful. Thanks Shuky. And just a quick follow-up on that. Is 5G also an opportunity at AT&T, have you had any conversations related to that?
Shuky Sheffer: 5G -- there is no Amdocs customer in North America and Europe. That they don't have ongoing discussion about 5G. So, this is not just true for AT&T, this is true for every big customers in North America, Canada and pretty much rest of the world. APAC is moving a little bit slow towards 5G comparing Europe. I think North America is leading Europe than APAC. But we have a dialogue about this. So for example, we mentioned Korea Telecom, which everyone believe is the leading in the world in monetization of 5G, a real 5G, what they call standalone 5G. And so for example, they took our catalog to start to ramp up their services on 5G, but we are having this dialog with every major customer that we have.
Charlie Ehrlich: Great. Thank you very much and congrats on the strong results.
Operator: Thank you. And our next question comes from Jackson Ader with JPMorgan.
Jackson Ader: Great. Good evening guys. Thanks for taking my question. There was a lot of activity in Spain. It looked like new customer activity and also signing expansion deals. Can you just remind us maybe how much activity you were doing previously in this particular geography, you've mentioned before how some of these deals require a large upfront kind of working capital investment? And I'm just trying to get a sense for what these deals may require.
Tamar Rapaport-Dagim: Thanks Jackson. So, if you recall we have already about the fact that we are very encouraged with our ability to expand within Europe to more and more countries in which we didn't have historically a presence. We gave the example of the analysts there, Italy, where several years ago, Ireland, Russia, et cetera, et cetera. And the same is now -- another one of these examples where historically we have various selectivity and now we're ramping up and following -- both with the example of Vodafone Spain, which we have presence and Orange Spain of course is a very meaningful win for us with the managed transformation. And yes, there is some set-up cost involved for us to open a new site or some localization and later builds around our product, et cetera. But I don't think it's a major investment just say -- just because it's a new country. I think the reason we talked about some pressure on margins, the accumulation of all of these deals is there been up to some pressure. And again, let's put it in perspective. We talked about, moving from 17.3% to 17.1%. So it's not such huge investment. But we're very happy and Spain should be one of these countries in which for many years to come, we are now putting our foot in the door and building the relationship with them, it is important.
Jackson Ader: Great. That makes sense. And then just to follow up, and I apologize if you mentioned it, but the contribution from TTS in the quarter?
Tamar Rapaport-Dagim: So TTS is roughly bringing double [indiscernible] per quarter. The company requires around $50 million of revenue annually. And that's why we said that specifically 2020, we think it would contribute roughly slightly over points to year-over-year growth. But now we're starting to build up the department together of course, and then consolidating the TTS business with our own mobile network optimization business that we had before. So we are encouraged with the progress of the POI and think have a great opportunity there.
Jackson Ader: Okay. Thank you.
Operator: Thank you. And ladies and gentlemen, this concludes our Q&A session. I would like to turn the call back to Matthew Smith for his final remarks.
Matt Smith: Thank you everyone for joining our call this evening for your interest in Amdocs. And I look forward to hearing from you in the coming days. If you do have any additional questions, please give us a call at the Investor Relations group. With that, have a great evening.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.